Operator: Good morning, ladies and gentlemen. Welcome to the CIBC Quarterly Financial Results Conference Call. Please be advised that this call is being recorded. I would like to turn the meeting over to John Ferren, Senior Vice-President, Corporate CFO and Investor Relations, CIBC. Please go ahead, Mr. Ferren.
John Ferren: Thank you. Good morning, and thank you, everyone, for joining us this morning. CIBC’s senior executives will review CIBC’s results for the third quarter of 2017 that were released to market earlier this morning. The documents referenced on this call, including CIBC’s news release, investor presentation and financial supplements, can all be found on our Web site at cibc.com. An archive of this audio webcast will also be available on our Web site later today. This morning’s agenda will include opening remarks from Victor Dodig, CIBC’s President and Chief Executive Officer; Kevin Glass, our Chief Financial Officer, will follow with a financial review; and Laura Dottori-Attanasio, our Chief Risk Officer, will provide a risk management update. With us for the question-and-answer period are CIBC’s business leaders, including Harry Culham, Jon Hountalas, Christina Kramer and Larry Richman, as well as other senior officers of the bank. Before we begin, let me remind you that any individual speaking on behalf of CIBC on today’s call may make forward-looking statements that are subject to a variety of risks and uncertainties. These statements may include material factors or assumptions that could cause CIBC’s actual results in future periods to differ materially. For more information, please refer to the note about forward-looking statements in today’s press release. With that, let me now turn the meeting over to Victor.
Victor Dodig: Thanks, John. Good morning, everyone, and thank you for joining us. CIBC reported solid third quarter results this morning with adjusted earnings of $1.2 billion, which is up 9% from last year. Our strong performance was driven by continued volume growth across our businesses, good credit performance, positive operating leverage and the contribution of PrivateBank earnings since June 23rd. One a per share basis, this quarter's adjusted earnings of $2.77 were up 4% from last year, marking our 12th consecutive quarter of year-over-year EPS growth. And we ended the quarter in a strong capital position with CET 1 ratio of 10.4% that was well above our stated target of remaining above 10%. With consideration to our strong capital position and reflecting our positive outlook, we announced $0.03 dividend increase today, taking our quarterly dividend to our common equity shareholders to $1.30 per share. While delivering strong financial results, we continued to make progress against our goal of becoming the leader in client experience. In our most recent Ipsos Net Promoter Score, our gap to number narrowed to its smallest ever and we are trending towards our highest fiscal year-end score. Our entire CIBC team is being powered to help us accomplish our client experience goals. And because of this, we're building very good momentum. We're focused on building enduring relationships with our clients, and helping them through good and through difficult times. I want to point out the example of what our CIBC team has done to come together to support our clients during the British Colombia forest fires; we put the special measures in place to help our clients manage their finances through this difficult time; we help to make special payment arrangements on mortgages, loans and credit cards; we've reverse fees and non-CIBC ATM withdrawal fees on personal accounts; and we’ve provided access to funds and their guaranteed investment certificates. From setting up mobile banking trailers at evacuation centers to storing humanitarian supplies for evacuees, our focus has been on listening to our clients and offering to help them. And on that point, I want to thank our team members who are dedicating their energy and commitment to make CIBC a great bank for our clients. In addition to our client focus, we continue to advance our priorities of simplifying our business and innovating for our clients. I'm going to highlight some of our achievements in these areas as I review the performance of our business segments. But before I do that, I want to introduce you to some new members of our senior leadership team. This past June, we announced the promotions of Christina Kramer and Jon Hountalas. Christina is leading our Personal and Small Business Banking team and Jon is the Head of Canadian Commercial Banking and Wealth Management. We also announced the appointments of Larry Richman to Head of our U.S. operations; Deepak Khandelwal, who is going to lead the new functional group dedicated to Client Connectivity and Innovation; and Sandy Sharman, as our Chief Human Resources and Communications Officer. These changes are part of a natural evolution that is further embedding a client first culture at CIBC, enabling the execution of our strategy and developing the next generation of our leaders. It's notable that as part of these changes, we've moved more than 40 leaders across our bank with the notion of cross pollinating ideas and further strengthening our talent pool. I'm also pleased with our progress in advancing women at our Bank. With the broader leadership changes we recently announced, nearly half of the individuals we promoted were our talented female executives. So now let me return to our business unit results. Canadian retail and business banking delivered adjusted earnings of $720 million, and that's up 8% from a year ago. Volume growth across all our products and higher fee revenue contributed to strong revenue growth of 5%. Margins improved 1 basis point and we delivered positive operating leverage this quarter in our retail business. We're proud of the investments we continue to make to advance our digital and mobile technology to meet evolving needs of our clients. And on this front, we announced last week the launch of CIBCs new Direct Banking brand, Simply Financial. Simply is about growth and it's about client focus. It will meet the needs of Canadians who value no fee daily banking and great rates through online, mobile and telephone channels. By bringing our Direct Banking offer in house, we’re giving ourselves greater control and flexibility, and we’ll be better positioned for our incremental growth opportunities going forward. Also of note this quarter was the number one ranking our bank received for the third consecutive year and an industry survey of financial advisors conducted by investment executives. Being the number one choice for our clients, starts with having a committed and confident team, and these results underscore what we see every day; our advisors are proud of our bank; our advisors are focused on our clients; and they feel very well supported in helping our clients meet their long term goals. My colleague Christina Kramer is here this morning to answer any questions you may have about retail and business banking. Let me turn to our Canadian Wealth Management business, where adjusted earnings were $136 million, up 10% from last year, driven by higher fee based revenue and asset growth. These results reflected benefits of ongoing investments, including the addition of client facing roles that will help us drive growth in the Canadian high net worth market. We're also focused on offering our wealth management clients choice across our investment products, and are doing that through a very competitive range of offers that meet their needs. This quarter, to improve value and accessibility for Canadian investors, we introduced a suite of lower cost CIBC cost of portfolios. We also enhanced our investment lineup with management fee reductions, lower investment minimums and a simplified product offering. And for institutional investors, we launched the CIBC active global currency pool, leveraging our 20 year track record of managing active currency strategies. My colleague Jon Hountalas is here this morning to answer questions on our Canadian Wealth Management business. Turning to Capital Markets. We reported adjusted earnings of $252 million compared to $290 million last year, and $267 million in the second quarter. This was another strong quarter for Capital Markets with balanced performance across our business. In Global Markets, results were supported by higher foreign exchange trading and higher global finance revenues. In Corporate and Investment Banking, revenue was up $34 million or 12% in the second quarter on the strength of higher equity and debt underwriting and higher corporate banking revenue. For the quarter, CIBC ranked number one in both equity new issues with a market share of 14%, as well as advisory services with $8.4 billion in deal value. Our broad based and client driven results across the core of our Capital Markets business help to offset the impact we would have otherwise seen from the run-off of TRS revenue. During the quarter, CIBC was named best derivatives house in Canada for the fourth year in a row by Global Capital. The award recognizes firms for their innovation and market impact, performance, client feedback and uniqueness of approach based on interviews of key market participants. And in Capital Markets, we continue to make important strategic investments in both talent and technology. These investments are all geared to meeting our clients' needs across their business and are focused on continuing to deliver innovative solutions for our clients. And my colleague Harry Collin is here this morning to answer any questions you may have on our Capital Markets business. Our U.S. Commercial and Wealth Management business includes results from the PrivateBank, CIBC Atlantic Trust and our U.S. real estate finance business. It's been keeping what we told you in our last call when we want to provide transparency on our U.S. performance. Our adjusted earnings from this segment of $44 million were $19 million higher than last year, primarily due to the inclusion of 39 days of PrivateBank results. Excluding the PrivateBank contributions, combined revenue from our U.S. real estate finance and CIBC Atlantic Trust units was up 15% year-over-year. Although, we just closed the acquisition of PrivateBank, we're already benefiting from recombination of our two banks. Integration efforts are proceeding very well and there's lots of excitement around both our clients and our team members on the opportunities that lie ahead. We've already begun to expand our commercial and corporate banking offer to our North American clients, as we look to leverage our more comprehensive U.S. cash management and deposit taking capability. In the Wealth Management space, the combination of the PrivateBank and CIBC Atlantic Trust creates a platform of $40 billion of assets under administration. We’ve seen lot's of early referral activity across our expanded team of private bankers as they look to leverage this platform to serve the full lending and deposit taking needs of our U.S. Wealth Management clients. And to further our growth strategy, we also announced, during the quarter, the acquisition of Chicago based Geneva Advisors. The addition of Geneva Advisors will bring new client relationships and another $8 billion of assets under management, adding further scale to our U.S. Wealth Management platform. I might add that 3.5 years ago we had zero in U.S. Wealth Management assets and today we have close to $50 billion. And we look forward to closing our acquisition with Geneva and welcoming the team to the CIBC team. As we bring all of our U.S. teams together, one of our integration milestones will be the rebranding of our U.S. region to a unified CIBC brand. We’ll be formally announcing the details on that next month. Having our entire team operating under the CIBC brand is exciting and its important way of building our presence in the U.S. market as we go forward. My collogue Larry Richman sitting right here beside me is here this morning to answer any questions you have on U.S. commercial banking and wealth management. In summary, we're very pleased with our results and we're very pleased with the consistency of our performance this quarter and on a year-to-date basis. It's been a period of significant transformation for CIBC as we continue to focus on our clients and position our bank to deliver growth for our shareholders. Before I pass it on to Kevin, I just want to finish my remarks with some perspective on the current operating environment and what it means for CIBC. While interest rates in Canada increased in July, they remain low by historic standards, and we’re not expecting a step wise decline in consumer lending activity. With GDP growth of 3% in the first six months of 2017, the consensus outlook at the current time is for another 25 basis point increase before year end and potentially another 50 basis point in 2018, assuming U.S. trade policy does not prove to be a major barrier to Canadian economic growth. The expected impact for CIBC's Canadian business is a moderation in consumer and mortgage lending activity to reflect the higher interest rate environment and regulatory measures that have been implemented to slow the housing market. However, business credit demand should remain healthy in an improving economy. In the U.S., the interest rate outlook is similar to that in Canada with 25 basis point interest rate increase expected in the second half of 2017 and a further 50 basis points in 2018 as the economy is expected to improve. If the U.S. carries out its proposed tax reform, our Wealth Management business south to the border should also benefit from greater high net worth saving pool. So that’s all been a mouthful. I want to now turn it over to our CFO, Kevin Glass to review our third quarter financial performance in more detail. Kevin, over to you.
Kevin Glass: Thanks, Victor. My presentation will refer to the slides that are posted on our Web site, starting with slide five. So as Victor, we had very solid result this quarter. We reported net income of $1.1 billion and earnings per share of $2.60. Items of note during the quarter reduced our reported earnings by $0.17 per share, and these included an increase in legal provisions of $0.08 per share and transaction and integration related costs associated with the acquisition of PrivateBank of $0.07 per share. So adjusting for these items of note, our net income was $1.2 billion, an EPS of $2.77. Our Basel III CET 1 ratio was 10.4%, our return on equity was over 17% and we increased our quarterly dividend by $0.03 or $1.30 per share. The balance of my presentation will be focused on adjusted results, which exclude items of note. We have included slides with the reported results in the appendix of the presentation. Let me start with the performance of our business segments, beginning with the results of Canadian Retail and Business Banking on slide six. Canadian Retail and Business Banking recorded another quarter of solid revenue and earnings growth, positive operating leverage and good credit performance. Revenue for the quarter was $2.3 billion, up 5% from last year, driven by growth in both Personal and Business Banking. Personal Banking revenue of $1.9 billion was up 5% from the same period last year, driven by strong and broad-based volume growth. Total assets were up 11%, led by residential mortgage growth of 13%. Our personnel lending portfolios, including cards, grew 6% as we continued to see improving results in this area. Personal deposits and TIC growth of 7% was driven by higher checking and savings account balances. Business banking revenue was $467 million, up 7% from last year, driven by strong deposits and lending volume growth and higher credit related fees, partially offset by narrower deposit spreads. Business deposits in GITs were up 13% and business lending balances were up 9% from the same period last year. Other revenue of $8 million was down $3 million as a result of the continued run-off of our exit FirstLine mortgage broker business. Provision for credit losses of $187 million was down $9 million from the prior quarter and $10 million from the same period last year as lower loss rates more than offset the impact of portfolio growth in cards and personal lending. Non-interest expenses were $1.2 billion up 5% from the prior year driven by investments we continue to make in strategic growth initiatives to support our transformation into a modern convenient and innovative bank. Net interest margin was up 1 basis point sequentially due primarily to higher deposit spreads and higher RMBS spread, partially offset by business mix. Canadian Retail and Business Banking net income of $720 million was up 8% from the same period last year, driven by solid revenue growth, good credit performance and strong cost containment. As announced last week, we are launching CIBC’s new direct banking brand, Simply Financial, which will replace the President’s Choice Financial brand banking products and services issued by CIBC, effective November 1st. Related to this transaction, we expect to incur fees and charges of approximately $100 million pretax, which includes contractual payments, severance and projects cost relating to the launch of Simply Financial, which will be reported as item of note when we release our fourth quarter results. Slide seven shows the results of our Canadian Wealth Management segment. Revenue for the quarter was $602 million, up $49 million or 9% from the prior year, driven by strong performance across all businesses. Retail brokerage revenue of $354 million was up $37 million or 12% from a year ago due to higher fee based and commission revenue, driven by asset growth and equity and debt issuance activity. Asset management revenue of $204 million was up $8 million or 4%, largely due to higher assets under management, resulting from market appreciation and strong net sales of long-term mutual funds, partially offset by a decline in mark-to-market feed gains on investments in our mutual funds and institutional accruals. Private Wealth Management revenue of $45 million was up $4 million or 10%, mainly due to balanced growth in both lending and deposits within Canadian private banking. Non-interest expenses of $417 million were up $33 million or 9%, primarily due to higher performance-based compensation. And net income for the quarter was $136 million, up $12 million or 10% from the same quarter last year. Slide eight shows the results of our new U.S. Commercial Banking and Wealth Management segment, which includes results for the PrivateBank, our U.S. real estate finance business and CIBC Atlantic Trust. PrivateBank has made a strong start as part of CIBC adding $26 million to our earnings this quarter. Performance reflects solid operational results with loan and deposit balances up 15% and 7% respectively from last year. We have included a slide in the appendix to this presentation that details PrivateBank’s performance. Revenue for the quarter for the U.S. segment was $239 billion, up $146 million or 157% from the prior year, driven by the inclusion of 39 days of PrivateBank results. Commercial banking revenue of $150 million was up $111 million from a year ago. Wealth Management revenue of $80 million was up $27 million or 51%. In addition to Atlantic Trust, the segment now includes Retail and Wealth Management revenue generated by PrivateBank. Of the $230 million in revenue in the Commercial Banking and Wealth Management business, our U.S. real estate finance business and CIBC Atlantic Trust contributed $106 million, which is up 15% from the prior year. Other revenue of $9 million reflects net revenue related to PrivateBank’s investment portfolios. Provision for credit losses was $34 million in the quarter with over half of the amounts attributable to company specific loss in our preexisting real estate finance portfolio. In addition, we established a collective allowance and recorded provisions of $13 million relating to PrivateBank from new loan originations and renewals of acquired loans. Non-interest expense of $147 million, were up $82 million from the prior quarter due to the acquisition. Net income for the quarter was $44 million, up $25 million in the same quarter last year. Turning to Capital Markets on slide nine. Revenue this quarter was $679 million, down $59 million or 8% from the same quarter last year. Global Markets revenue of $360 million was down $55 million from the prior year, driven by lower revenue from equity and interest rate trading, largely due to the expected decline in equity derivatives revenue as a result of changes to Canadian income tax act related to synthetic equity arrangements. This is partially offset by higher foreign exchange trading and higher revenue from Global Markets’ financing activities. The resources previously employed by the TRA’s business have been redeployed into existing and new client driven businesses. Corporate and Investment Banking revenue of $321 million was down $4 million from a very strong prior year quarter, driven by lower equity underwriting revenue, partially offset by higher corporate lending revenue. Provision for credit losses was $1 million in the quarter compared to provision of $7 million in the prior year and the recovery of $5 million last quarter. Non-interest expenses of $340 million were down $12 million from the prior year, primarily due to lower performance-driven compensation, partially offset by higher spending on strategic initiatives. Net income of $252 million was down $38 million from the prior year. The solid earnings this quarter successfully demonstrates the strength of our client focus and diversified products, industry sector and geographic business mix and a sustainable earnings power of our co-businesses. Slide 10 reflects the results of the Corporate and Other segment where net income for the quarter was $14 million compared with a net loss of $34 million in the prior year; improvement is largely due to higher revenue in FirstCaribbean, improved treasury results and investment gains. Turning to capital on slide 11. Our CET 1 ratio was 10.4% as at July 31st, down 180 basis points from the prior quarter. The impact of closing the PrivateBank acquisition was partially offset by solid organic capital generation, the impact of share issuance through our dividend reinvestment and employee share-based plans and the reversal of the Basel I-IV adjustment. The all-in impact of the acquisition, including the related foreign exchange hedges on our CET 1 ratio, was approximately 230 basis points. Our leverage ratio was 3.9% at July 31st, down 20 basis points from Q2. To wrap up, we are very pleased with our strong results this quarter, reflecting consistent execution of our client-focused culture and strategy. With our strong ROE and EPS growth this quarter, we remain on track to achieve our medium-term performance objectives of at least 5% EPS growth, 15% ROE and strong capital ratios for fiscal 2017, as well as keeping us on track to achieve our next target of 55% run rate by the end of 2019. That concludes my remarks. But before I turn the call over to Laura, I would like to mention that this is John Ferren's last call before he transitions to his new role as CFO of our Canadian Retail Business. I'd like to thank John for his leadership and contribution over the past two years, and wish him well over his new challenge. At the same time, I'd like to welcome Amy South who will transition from her previous role as CFO of Capital Markets and Treasury and assume the corporate CFO and Head of Investor Relations responsibilities. With that, I'll turn the call over to Laura.
Laura Dottori-Attanasio: All right. Thanks, Kevin, and good morning, everyone. So slide 13, begins with our loan loss performance, which now includes the PrivateBank portfolio and reflects the realignment of our existing U.S. real estate finance book out of Capital Markets to our new U.S. Commercial Banking and Wealth Management Segment. I am pleased with the overall performance of the credit portfolio so far this year, and in particular, as our Retail Banking segment continues its strong performance. Loan losses were up $30 million quarter-over-quarter. This increase was driven by two items in our U.S. Commercial Banking and Wealth Management Segment. First, we had $21 million loss in our preexisting U.S. real estate finance book, which is now part of this new segment. Secondly, to account for our acquisition of the PrivateBank, in our consolidated results, we booked $13 million collective provision for non-impaired loans. This was established for the renewals of acquired loans and new loan originations, and appears in the U.S. Commercial Banking and Wealth Management line. We would expect the collective provision for non-impaired related to new originations and renewals of acquired loans to continue into the fourth quarter under current accounting rules. I would like to highlight that the credit quality of the PrivateBank portfolio continues its strong performance, which is in line with our due diligence expectations. Now turning to slide 14, new formations were $473 million that’s up $84 million quarter-over-quarter and it's mainly due to the one U.S. real estate finance loan that I referred to you earlier, which we impaired this quarter. While the overall growth impaired loans were essentially flat at $1.3 billion, there were a few moving parts that I'd like to highlight for you. The number increased given the inclusion of PrivateBank's results, including one new impairment and the impairment to the U.S. real estate finance loan. These increases were largely offset by the decline of the U.S. dollar and a decrease in the oil and gas sector. So as a percentage of growth loans and acceptances, gross impaired loans were 37 basis points, which is down 3 basis points from last quarter. Slide 15 provides an overview of our residential mortgage and HELOC portfolios in Canada along with a breakout of the Greater Vancouver and Toronto areas. I'd like to highlight a few items from this slide. While the HELOC balances grew by 7% over the prior year, the utilization rates have remained relatively constant over the past two years. As our mortgage balances grew by 13% from $175 billion to $197 billion on a year-over-year basis, it is mainly attributable to an increase in volume, while we have seen a number of applications decrease marginally over the same period. Our late stage delinquency rates across all of these portfolios continue to remain low and stable with Vancouver and Toronto performing significantly better than our Canadian average. Slide 16 speaks to our Canadian uninsured residential mortgage originations. And here you’ll see that we originated $16 billion of uninsured mortgages, which represents an 8% year-over-year increase. Of that amount, 14% were to clients in the GCA whereas 41% were to clients in the GTA. Average beacon scores of our new clients continues to be strong with mortgage portfolio quality stable and in line with our risk appetite. Slide 17 shows our beacon and loan to value distribution for our overall Canadian uninsured residential mortgage portfolio. The Greater Vancouver and Toronto markets continue to have better credit profile than the Canadian average. Beacon score distributions are towards the higher end and average loan to values continue to remain at healthy levels. On slide 18, we've highlighted our Canadian credit card and unsecured personal lending portfolios. On a year-over-year basis, the late stage delinquency rates of both Canadian cards and unsecured personal lending portfolios were down slightly. One other item to highlight as it relates to our cards' performance is the mix shift between premium and non-premium cards that has occurred. Over the last few years, we've had good momentum in building our proprietary Aventura cards business. Clients choosing these cards tend to have stronger credit profiles than those in our non-premium card segment. And as such, we're seeing the effect of this alongside improving employment conditions, which we believe is translating into continued strong performance within this segment. Lastly, slide 19 shows the distribution of revenue in our trading portfolios as compared with VaR. We have positive trading days throughout this quarter, which is the same as last quarter. Our average trading VaR was $8.1 million, up from $6.3 million in the second quarter, largely driven by increased underwriting activity in support of our clients. I will now turn things back to John.
John Ferren: Thank you, Laura. So we’ll open phone lines for questions at this point.
Operator: Thank you [Operator Instructions]. And the first question is from Ebrahim Poonawala from Bank of America Merrill Lynch. Please go ahead.
Ebrahim Poonawala: The first question, I just wanted to start with capital with private now behind you I think for the longest time we had built access capital to get the deal done, CET 1 above your 10% plus ratio. Can you talk about in terms of how high you're willing to let this ratio go on, just in terms update us on your capital deployment strategy be it capital return or may be additional U.S. M&A.?
Victor Dodig: We’ve always been consistent in terms of our view of having a very strong capital ratio. As we indicated in the second quarter, once we close the PrivateBank, we wanted to above 10% and we’re 10.4%, and we're very pleased with that level. Our goal is to be in the 10.5% range. And our focus over the medium term is really around maintaining that range; investing in organic growth, which is really going to be the primary driver, which would increase integration with the PrivateBank; making the franchise stronger and stronger as we put resources into the business and putting resources into our Canadian business; really focusing on where we can get the highest returns for our shareholders. Inorganic activity is largely going to be on hold for the interim period as we galvanize around the assets that we’ve invested in. And when it comes to returning capital to our shareholders, our goal is to be in the upper end of our dividend payout range and we are currently at that level. So we want to see consistent dividend increases over time as we grow our business. And as you know, we have a buyback in place, but we don’t foresee using that unless there is extreme value that surfaced in our franchise. And finally, it's important for us to maintain that buffer for any regulatory changes that are on the horizon; so basic message is 10.5% a good range to be in, focus on organic growth, focus on consistent dividend growth, making sure we have buffers for any regulatory changes and that will be it.
Ebrahim Poonawala: And if I can just follow up on that, Victor, very quickly, you mentioned regulatory changes. I was just wondering if -- we wonder what happened with Basel IV in October when the committee meets again. But if you were to go ahead with the Basel for structure, can you give us a sense of what impact that could have you CET 1 ratio? Thank you.
Victor Dodig: Kevin, I’ll pass that on to you. But you tell me where they’re going to land on Basel IV and I’ll tell you where this is going to land. So Kevin, do you want to shed some light around it?
Kevin Glass: I think all I can do is stress that. I mean based on what we’ve seen so far, all of these changes have been pushed out well into 2020 and beyond. So; A, we’ll have a lot of time to deal with it; But, we anticipate they’ll be phase-ins; and C, as Victor said, right now exactly what's going to be delivered, but certainly the change that we know affected into our full cost and we're comfortable with it.
Operator: Thank you. The next question is from John Aiken from Barclays. Please go ahead.
John Aiken: Kevin, I was hoping to dive into, on the corporate and other segment, just for a little bit. I mean we saw large step up in the revenue; delta is about $160 million, $100 million of that came from [TEB] adjustment; we had $5 million from international. And your commentary, you talked about higher revenues from FirstCaribbean and Treasury, and then I think you mentioned investment gains, so out of that $60 million. Can you give us a little more color on what that came from, because I mean obviously we’re trying to plug this into the malls and figure out about sustainability?
Victor Dodig: So if you recall at the last quarterly call, I think, I’ve guided towards breakeven as we move forward. And I think that that’s really being driven by stronger treasury results as we’re moving forward. Now there is volatility and you’ll see continued volatilities. I’ll continue to say breakeven maybe a small losses the way that we would see going forward. In this particular quarter, [FCIB] helped a little bit. We did have some small gains on disposition of investments, but the big changes being in treasury. So with rates moving the way they are, it's generally our investment in capital some of our LPs, we’re targeting two three business, which flows through treasury are improving. But in this particular quarter, we also had some gains as we rebalance some of our portfolio, so that helped. And also there is volatility on our hedges, they’re not all perfectly hedged, there is some hedging effectiveness. This quarter, we had a number of items going for us. So everything works for us. And I would say moving forward, I would just plug-in breakeven to a small loss.
John Aiken: And one follow-on, if I may, little bit surprised not to see any disclosure on margins within U.S. commercial, particularly given the asset sensitivity, the operations down there. Are we going to get better in a go forward basis, or is this a decision that you’ve taken not to provide information for competitive or other reasons?
Victor Dodig: No, we’ll certainly give that information, moving forward. And what I would say and happy to turn it over to Larry to talk a bit about the business. But certainly, if we take the NIMs back in March when they last -- June when they last announced, versus now we’re continuing to see improvement.
Larry Richman: Good morning, it’s Larry Richman, nice to be on the call, and very, very pleased to be part of CIBC. Just a little perspective on the business, which I think can shed some light; one, margins are actually up and in the U.S. business particularly it relates to PrivateBank. The business is actually very solid, and there is good momentum and our outlook for the business is positive. Clients are really focusing, in our view my view, on their business and how they’re going to grow it. And the clients’ management teams feel good about the business. And so we’re seeing lot of good activity. There is good activity that we’re seeing both from existing clients as well as new clients. And so we’re maintaining strong, as we have over the years, selectivity and discipline. But at the same time, we’re seeing good opportunities. And at the same time with rates rising, we’re seeing some improvement in margin. So we’re holding, we’re expanding volume and at the same time, doing well from a margin standpoint.
Operator: Thank you. The next question is from Nick Stogdill from Credit Suisse. Please go ahead.
Nick Stogdill: Larry, just a follow-up on your comments there. Does that mean we should expect the U.S. bank to sustain higher than industry average loan growth in the U.S. higher than what we’re seeing currently in C&I?
Larry Richman: I can’t speak to the industry in the future. But I guess I can tell you that we see very strong organic opportunities to be able to drive continued consistent quality profitable growth. We’re seeing more opportunities now given the combination of deals and opportunities that we’re looking at that than we even did before when we were a private separate organization. So we’re seeing some early signs of where the opportunities based upon on the integration of being one are coming about. So I can't speak to the future, but I can certainly tell you that we’re seeing good opportunities, good solid pipelines and our bankers are feeling good. And our clients are coming to us or we’re seeking and identifying opportunities going forward.
Nick Stogdill: And then my second question for Laura. Just on the LTVs and the Canadian uninsured mortgage book 55% last quarter, 52% this quarter, and a little surprising I guess given the recent market trends maybe if you could just give us some update on why they’re declining? And then as LTVs were to reverse course an increase, are there any implications that could have anything on growth, and maybe how much would it take to increase in LTVs to see an impact on capital on the uninsured book, or any colors out there?
Laura Dottori-Attanasio: I'm not sure I understand the second part of the question. But as it relates to loan to value, if you will, what we’re seeing in terms of increase is really upon the volume side but as those prices have increased what we’re seeing is that the average size of the mortgage has increased. So that is where that segment of growth is coming from. When you do look at our loan to values, I guess what I would say is, we do have adequate buffer to sustain a drop in housing prices. And quite frankly and more importantly, when we look at our portfolio, as I mentioned in my prepared remarks, we’ve really strong mortgage performance from a delinquency perspective. Victor spoke of earlier how well the economy is doing, unemployment in this country is actually looking very good and that’s the main driver of losses. The main thing that we look at and that is house prices do come off. We need our borrowers to continue to have their jobs to service their loans. But in the event we find ourselves taking on assets, we do have and continue to have a good buffer as it relates to that loan to value.
Nick Stogdill: My second question is really -- just as LTVs went from the 52 back to something higher, would that matter if it was just driven by housing price decline and there was no impact on employment. Would we see any implications on growth or capital if we went from 52 back to something north of that?
Laura Dottori-Attanasio: So again so long as employment phase as is, we would not expect to see, if you will, any real change to delinquencies or to loan losses. And so no real impact as well to capital. We do have the LGD change from a regulatory perspective that it was put into place. So that has a bit of an impact in terms of how we would see risk weighted assets move in consequently CET 1, but not expected to be material in anyway.
Operator: Thank you. The next question is from Steve Theriault from Eight Capital. Please go ahead.
Steve Theriault: Couple of questions if I could this morning. Maybe starting with the U.S. So when we piece together the new disclosure, I was a bit surprised to see Atlantic Trust, looks like is not far off of breakeven. So can you talk about any issues going on there with the addition of Geneva move that operation to be more meaningfully profitable? And how much upside is there for Atlantic Trust given the PrivateBank proposing and increased offerings and so on?
Kevin Glass: Let met talk briefly about Atlantic Trust contribution. I think that part of the noise that we have in their numbers is just really accounting, and there’s some allocation of support cost and then amortization of acquisition related cost. So the good news is recently they've been consistently delivering revenue in the $55 million to $60 million odd range, and that's up from about $40 million three years ago. So as we have the run-off of acquisition related costs and I think I tried to focus on expenses, we would expect those earnings to improve. Let me hand over to Larry to take you through the question.
Larry Richman: Let me speak strategically to the Atlantic Trust Geneva PrivateBank combination, the importance of private wealth to the combined organization and also to the U.S. market. I'm actually very, very excited and we have seen, interestingly, some early really nice opportunities because of the views of great clients, interesting opportunities to cross-sell and provide more banking opportunities. Specifically, where we have a strong private wealth relationship in Atlantic Trust Geneva and in our private wealth business, at PrivateBank, we’re really able to drive private banking opportunities now that we couldn’t do before. So we look at it is an opportunity to not only drive more business in relationship expansion with our clients, but it should yield greater deposit capabilities and also opportunities to seek other floor banking relationships. The addition of Geneva, which is most recent, is a very exciting one. One it's a great team well recognized very, very nice high quality client base that fits very well with the commercial client base that we have at PrivateBank today. And at the same time, we see really nice opportunities to be able to create more scale and at the same time they are local to the Chicago market. So it gives us the capability to have more scale and more importance and more opportunities in the Chicago market. So I think there will be greater clients’ expansion, as well as deeper relationships as a result of both of these. These will provide benefits over the long-term.
Steve Theriault: Okay, thanks for that color and thanks for those numbers Kevin. And then turning to Canada for a second for Christina lot of mortgage momentum; obviously, you’ve continued quite strongly this quarter; I picture those as being completions from earlier this year before the GTA slowdown. So I would be interested, do you think given the Toronto slowdown, we’ll see a more noticeable slowdown in momentum beginning in Q4? I guess I'm asking what does the mortgage pipeline looks like looking out the next couple of quarters.
Christina Kramer: Thank you, Steve, and good morning. So let me put it in the context of our overall business. We've seen good momentum and consistent earnings growth across our businesses over the past two years. And that growth we've seen that in funds manage growth, both to money in and money out, across product areas and across both personal and business. So let me spend turn some mortgage growth. The key driver of our relative growth over the past couple of years has been the steady build-up on the improving productivity of our mobile mortgage advisor team. And it's in a deliberate client focus strategy want to be there for key moments when our clients live, we want to make banking with the CIBC easy to do. So we’ve built-up the strong mortgages advisor team across Canada. Earlier this year, we reached our target level of mortgage advisors. And given that our relative mortgage growth has been largely fueled by our MA expansion, now that we're at target state, we expect that the relative mortgage growth rate will being to converge to industry levels over a few quarters. Last about GTA market, so we have started to see some evidence of softening, as Laura mentioned, the new originations in July were down month-over-month and that was largely driven by the GTA market. And given the prospect of further regulatory changes, the most notable of which are the amendments sort of the B-20 guidelines. We do anticipate some softening in the market over the upcoming year.
Steve Theriault: And then if I could just, a quick numbers question before I ring off, for Kevin on the tax rate. It was higher this quarter. I suspect its mix from higher U.S. and maybe the TRS. Is there new normal or some normal tax rate range you could share with us, going forward? I guess realizing that there's probably some additional impact from PrivateBank being in for full quarter or next?
Kevin Glass: Steve, absolutely you're right. So the higher tax rate is because of the role of the synthetic equity business. And there’s some volatility depending on how earnings go. But I'd look for a tax rate in the 22% to 24% range if you’re going to model it, moving forward.
Operator: Thank you. The next question is from Meny Grauman from Cormark Securities. Please go ahead.
Meny Grauman: Just a follow up on the talk of the B-20 proposal. Victor, I'm wondering what's your view on this proposal, given we're seeing a slowdown already in the GTA. Is this may be prudent to hold off on another regulatory change?
Victor Dodig: I'm not going to go there Meny. I think the regulators are going to decide what's best from a micro prudential perspective for the Canadian economy. Our job, as the leadership team, is to manage within that framework. I think Laura and Christina have both been clear in terms of our current risk posture in our mortgage portfolio, as well as our growth prospects in our mortgage portfolio. And we will manage within those parameters and our goal is to manage prudently for both our shareholders and also to deliver for our clients what they need. I think one thing I would say in terms of our overall growth and our consumer franchise. It is growing across the board; we are seeing growth in investment funds; we are seeing growth in deposits. So there's a high quality level of growth that we're seeing, and we'll continue to endeavor to build those deeper client relationships in our franchise, and that's the only way for us to deliver value. As regards to regulatory change, I will leave that to our regulators.
Meny Grauman: And then if I could just ask a follow up, so just a numbers question in terms of your residential mortgages. What percentages are adjudicated at 200 basis points above the contracted rate, right now?
Laura Dottori-Attanasio: I can take that question. And I guess I'd answer it twofold; the percentage that are currently adjudicated that way would be little over three quarters; but if we were to look at which percentage of our new originations would qualify, that number would actually be in the 90% range.
Meny Grauman: Do you mind just explaining that difference little bit more?
Laura Dottori-Attanasio: Absolutely. Your question specifically was around what percentage do we currently adjudicate when we look at the requirement at the 2% onto the Bank of Canada posted rate. So I am referring to if we were to run our new originations through that rule, how many would qualify. So they don’t talk come in the way things work today having to qualify is the difference here. Because I think what you're trying to get to with the B-20 documents, that’s out for consultation is what might be the impact to our future business, if these rules were to come into to play. Because as you can appreciate, the change, as it relates to the stress test requirement to qualify at 200 basis points over the contractual rate that that actually would apply to our uninsured mortgages.
Operator: Thank you. The next question is from Scott Chan from Canaccord Genuity. Please go ahead.
Scott Chan: Larry, I'm just trying to extrapolate the PrivateBank acquisition, 39 days, and I know it's not exact. But Laura touched on the provision in the quarter but the next, or the efficiency ratio seemed a little bit high versus prior to the transaction. What is the targeted efficiency ratio? How should we look at that ratio, going forward? The only thing I saw was the higher compensation expense related to retaining employees. And I was wondering if that was one time as well.
Victor Dodig: Let me just take that question. So I would say it's early days that the compensation adjustment certainly have a big impact. They aren’t one time but they have a relatively short shelf life. So that will run off over the next couple of years. But we would anticipate it from a mix perspective PrivateBank would actually contribute positively to CIBC as a whole, and help drive us to that 55% mix ratio that we’re going to get in 2019.
Scott Chan: So let's put it another way. If I look at year-to-date with the tailwind on the volume growth and the NIM, the adjusted normalized earnings would be tracking higher than last year? Is that a fair statement?
Larry Richman: Let me add a couple of things to it. One, there remains and has consistently been a very focused strategy of not only driving profitable client growth, but also managing expenses and creating increased operating leverage; and that’s a very important part of driving long-term shareholders value, we believe, and that remains. We believe that the organic growth strategy and the opportunities have been leveraging the capabilities and financial strength of CIBC, will provide more revenue capabilities. And at the same time that we're integrating, we’re also paying a very close attention to how we manage expenses. And so there is a very fine eye in management’s focus on expanses overall. And feel very good that we not only have an improvement, and again it's hard to be able to see, but an improvement this quarter in the mix, or as we in the U.S. said, efficiency ratio this quarter but that will remain an ongoing focus for us.
Operator: Thank you. Your next question is from Sumit Malhotra from Scotia Capital. Please go ahead.
Sumit Malhotra: I want to start on slide 23 of your presentation in the PrivateBank detail you provided us, for Kevin and probably Laura. Kevin, first off on the NIM that you gave us to your NIM at 3.97%, that’s decently higher than the last numbers we saw from Private when they reported, which I have here was background 3.3%. Are you calculating this measured differently, or is there something change in the disclosure. Because I’m sure NIM has gone up, that seems significant. And just for Laura to get the other part in. The $11 million in provisions that’s shown here that would have been roughly a full quarter run rate for Private. I’m guessing that that allowance that you mentioned is shown here and not in the corporate segment, whereas where I think you usually have done your allowance adjustments. So hope that you can cover up that please.
Kevin Glass: Let me take the first, but I mean, NIMs have actually gone up significantly as a result of the base business, so that’s a bulk of it. But also what helps NIMs a bit in this quarter is just because of purchase price accounting, we have loan discount accretion that you have seen in the MD&A that flows through as well. So on a reported basis that also helps the NIM and that was about $11 million, $12 million this quarter, so that would also contribute to the NIM improvement. But to say the base NIMs are going up because the business is improving and rates are improving, that’s increased.
Larry Richman: Just a couple further thoughts to reinforce Kevin’s message, which is the -- rates in the U.S., and we’re very asset sensitive with a big proportion of our loans tied variable priced and tied to LIBOR in and in many cases 30 day LIBOR. With the rates rising, that is had an impact, positive impact. What we’re is at the same time that rates are rising is we’re able to hold pricing at reasonable rates, and again it is a mix of portfolio with some loans that priced different -- pricing than obviously than others in different industry segments and mix. But overall, I feel good that we’re holding pricing in a continuous competitive market, and the up of rates has had a nice contribution.
Sumit Malhotra: And Laura on the [PCL]?
Laura Dottori-Attansasio: So to your question, the allowance, you would find that I mentioned earlier the $13 million, so that’s in corporate and other.
Sumit Malhotra: So the $11 million that’s shown on that slide 23 for Private in provisions that’s the provision that the core business booked in the one month or so that it was in the numbers?
Laura Dottori-Attansasio: That’s right.
Sumit Malhotra: That seems decently higher that the provision that Private had been running at. So maybe that’s the case. But I just wanted to make sure that there wasn’t anything one time-ish in the establishment of that.
Laura Dottori-Attansasio: So there is nothing one time -- there is purchase accounting in there, which I think is adding noise to the numbers. Nothing as it relates to the performance. We’ve seen solid standard performance from the Private bank from a loan loss perspective. So what you’re seeing really is noise in the numbers, as I said related to purchase accounting. And so I can hand that back to Kevin who hopefully can take you through that detail.
Sumit Malhotra: Yes. And just obviously there from what I’ve seen, I understand the impact on NIM that Kevin was mentioning. I am a little surprised to hear about purchase accounting boosting the provision. But Kevin maybe you’ve got something there.
Kevin Glass: So on acquisition, when you do the acquisition accounting, there are two adjustments to go through; so the first is writing of all the existing allowances; and then secondly doing a portfolio fair value discount and then building up the allowance overtime. So in this quarter, you’ll see two things going through that largely offset. So the first is building up the allowance, which is about $10 million-odd and that’s included in that numbers that you are referring to on the slide. The other side is that increasingly discount back into income and that was a comparable number going the other way that would be included in the top line. And what I would point out moving forward is that added complexities IFRS 9. So at the end of the year when we convert to IFRS 9, there will a onetime adjustment where we actually catch up the entire month of the allowance for doubtful accounts. So that will be code up and won’t have that drag moving forward, but we will continue to have the accretion. But we’ll disclose that as we move forward.
Sumit Malhotra: So just to wrap this up. So I think you and I had this discussion last quarter about potential impacts of closing this transaction on capital, and also 230 basis points impact on capital was larger than I expected. Was there a larger impact as a result of these adjustments that you're referring to on capital than may have initially been contemplated?
Kevin Glass: No, the answer is no. That’s entirely within the range actually it was bang on from what we expected to see. I mean there are a couple of things because we saw that some of the estimates were a bit higher. So couple of things that may have -- not being taken into account; the first is we had some descending shareholders, so that was about 10 basis points that’s still out there; and then the other thing is the calculation of that CET 1 is somewhat opaque. So if you look at expected loan loss shortfalls that would have been about another 15 basis points. So I think that may really have accounted for the difference. But in terms of the adjustments I referred to relating to the allowance and the loan loss accretion, the loan discount, that didn’t have a negative impact that was really a wash.
Operator: Thank you. The next question is from Doug Young of Desjardins Capital. Please go ahead.
Doug Young: Just back to Private Bancorp and the NIM discussion, and I get the discussion that you just had. But can you talk about what the NIM would have been excluding the accounting noise? Just so we can compare it to that 3.3%?
Kevin Glass: Why don’t we get back to you with the exact calculation, trying to reconciliations on the call is probably not a smart move. And we certainly have an impact but not a big impact, the biggest driver would have been increasing interest rates on the core business, but we’ll get back to you with the detailed reconciliation.
Doug Young: And then just on the regulatory capital. I saw the risk weighted assets was reduced by, I think about $2.5 billion due to model enhancement. Laura, can you flush out what that related to?
Laura Dottori-Attanasio: Really just standard course model enhancements that follow the regular pace of some model update. So nothing major to point out.
Doug Young: What business line was it?
Laura Dottori-Attanasio: It's cross our business lines. There would have been some, I believe, in our capital markets and then in the retail portfolio. But again, small things, nothing major.
Doug Young: And then just in Canadian P&C banking, sequential NIM increase. Was there -- just surprised given the mix of this business shift. Was there anything unusual in that positively impacted the Canadian NIM sequentially? And can you talk a bit about what the outlook would be for Canadian NIMs, given obviously one rate increase and as we stare in the 2018 and given your outlook for rates?
Christina Kramer: In Q3, we saw 1 basis point improvement in NIM and that was the net effect of better deposit spreads and slightly more favorable prime BA spread, and a drag from business mix. So looking a few quarters ahead and building in some current expectations for the market for future rate increases, we expect our NIM to be steady to slightly improving.
Operator: Thank you. The next question is from Gabriel Dechaine from National Bank Financial. Please go ahead.
Gabriel Dechaine: Just to clarify, the collective build. It looks like if it just go through the new segment, goes with the right upstairs in your MD&A here as an explanation for the increased partial explanation and of the increase in PCL, is that…
Victor Dodig: Yes, so that's correct, Gabriel.
Gabriel Dechaine: And then IFRS 9, you touched upon that. And there will be a transitional adjustment and therefore, we won't see this general allowance or collective allowance build beyond the Q4. Do you think that the overall adjustment from IFRS 9, the transitional adjustment, will have any material impact on your core Tier 1? Maybe a few basis points or something more than that…
Victor Dodig: So in our disclosure next quarter, we’ll be giving way more detail and actually coming out of the number. We’re continuing to model. But based on what we have seen so far, it's quite manageable.
Gabriel Dechaine: Let me put it this way. As you put out some guidance on Monday, I believe, saying if banks expect there is a material impact for phase-in or putting the request for phase-in time frame? Are you -- do you think the time frame or phrase-in is going to be long or short?
Victor Dodig: No, I think the whole -- there is a lot of complexity to that and it really depends bank to bank. I think from our perspective, even you phase-in to phase-in, we can manage the transition.
Operator: Thank you. The next question is from Mario Mendonca from TD Securities. Please go ahead.
Mario Mendonca: I'll try to be fairly quick here. The VaR did spike fair a bit may I suspect something happened there that I should know, but I can't remember. Is there anything you can have it?
Harry Culham: We had some pretty large transactions in the equity capital markets space with some remnants that were observed in the market overtime, and that's the real rating for it.
Mario Mendonca: So there was nothing that's actually you would view that as a real -- as a positive one.
Harry Culham: I mean we’re there work with our clients and in fact we do the follow on transaction in the coming months.
Mario Mendonca: So the reason I ask is, because I didn’t see any improvement in the revenue emerging from that spike in VaR. Are you suggesting that that spike in revenue seen later in June is reflective of the increase in VaR?
Harry Culham: What I'm saying is, there are times we need to stand with clients to get transactions done in the market, and it was a very large transaction, at that point in time it was remnant, which the street faced. And there wasn't significant amount of revenue, if any, attached to that one transaction. And as you know, we view these client transactions and client relationships on a long term basis. And therefore, we believe that over the long run, it’s the right thing to do to attach risk to client transactions of that nature.
Mario Mendonca: The all bank margin, Kevin, is this may be tough for me to ask you. But I look at your all bank margin and I clean it up for trading, and I do it on a TE basis. The all bank margin sequentially was up 9 basis points, the way I look at it. Now, you may not calculate it that way, so maybe unfair to ask the question. But let me just ask it generally. The significant increase in the margin the way I've described it was that essentially just the treasury activity you're referring to?
Kevin Glass: The answer is yes. And I mean part of the challenge of all bank margin is actually on the margin just a slight moving assets can make quite a big difference on that. So a lot of that did have to do with rebalancing as well as treasury with on pretty low margin business, which can move the all bank margin quite a lot, that's correct.
Mario Mendonca: So is it conceivable that number could just come right back down next quarter, or all bank margin go up?
Kevin Glass: I think you can expect some volatility on that. Perhaps the more important margin business for them to have a look at it is retail, which drives a lot of high margin revenue, so I think that’s fixed.
Mario Mendonca: And then finally on cards, anything -- any activity changes in purchase activity you're seeing on Aeroplan specifically, because the card revenue did look light, but the balances look great. So anything you can highlight there.
Christina Kramer: As Amy had actually stated earlier this month and as we've seen in our own experience, both in spend and active, there's been very little change since the Air Canada announcement. So it's been business as usual from that perspective. Overall, our travel space, we're seeing some good growth in the portfolio, Aero is stable contributing well, and Aventura's been robust growth.
Mario Mendonca: I couldn't hear you wrap about when you got started. So you were just saying you didn't really see anything emerge on Aeroplan, but [multiple speakers] this quarter.
Christina Kramer: Yes, what I was saying was both -- Amy has stated this, as well as in our own experience. There's been very little change since the Air Canada announcement.
Operator: Thank you. The next question is from Sohrab Movahedi from BMO Capital Markets. Please go ahead.
Sohrab Movahedi: Two quickies, hopefully, if I can just go back to Christina. Are there any metrics you could share with us, Christina, that over the last couple of years with mortgage growth, where you're seeing other products growing as well? In other words, give us some comfort that these are not single products relationships.
Christina Kramer: As to specific metrics, I don't have off hand. But what I could say for sure is that we have seen growth across the business acquired by our mortgage advisors, as well as in our banking centers, which is primarily where we're seeing the mortgage growth. And that growth is coming with deposits and with other business to CIBC. So it is broad based and it is across all the product categories, as I mentioned earlier.
Sohrab Movahedi: On page 21 of the presentation material, residential mortgages, for example, this quarter up 13%, cards up 2%, business up 9%, personal loans only up 7%. If I look at just the metrics you have over here and in a very blunt fashion look at your loan to deposit ratio, it's actually going up, would have been about 144% last quarter or last year up to 147%. So this is consistent with what you would expect the mortgage growth to be resulting in?
Christina Kramer: Mortgage is part of the story. As I mentioned earlier, we are seeing growth across all of our segments, both on personal and business; we're seeing it across all the products categories; and we're seeing strong funds managed growth in money in and money out. So in terms of the mortgage contribution, it has brought in new business for us, it's brought in new clients, which also have brought in deposits in core banking and so on.
Sohrab Movahedi: And then very quickly may be other for Kevin or Victor. I mean, you're still continuing to issues shares through the group discount. I think I assume you're going to turn that off before you contemplated any buy back type activity. I think you were talking about a little bit earlier. And I was a little bit surprised, Victor, I think you said something along the lines of, we will only do buybacks if we saw it. It was a good value proposition. But given where the stock is trading, you don’t think you're there right now?
Victor Dodig: The trade-offs, when we look the capital management as a leadership team we look what's going to be the highest and best use to our shareholders over the medium to long-term. When it comes to some of these short-term capital trade-offs, we’ll do the right thing. You can just assume that we’ll do the right things to maximize share value. I'm not going to comment on the value of the shares today, that’s for you to judge and for investors to judge. I will tell you that I think we're running a very good robust business with good expense control across all of our footprints. And I think the acquisition that we’ve made in the PrivateBank over time will prove to be a very, very good investment for our shareholders.
Operator: Thank you. And our last question will be from Darko Mihelic from RBC Capital Markets. Please go ahead.
Darko Mihelic: I actually have three I think simple questions, so hopefully we can tear through this quickly. Laura, when I look at the presentation, on slide 15, when we look at the delinquency rates really nothing to look at there. But the only thing that comes to mind is just that mind at ease. When I look at the increase in delinquency rates in GDA, just want to make sure that there isn’t single vintage that’s causing the increases. Is this a broad base mild increase in delinquencies we shouldn’t care about, or are there in fact something's, some vintages that are posing more problems?
Laura Dottori-Attanasio: We actually do go in and do quite the exercise to normalize, if you will, for growth in the portfolio. So we do look at all of our vintage performance, and the delinquency rates remain pretty much the same. And so there is no degradation happening there. What you're seeing there, quite frankly, is just a little bit of noise relating interestingly to a handful of accounts that we have.
Darko Mihelic: And then just quickly on slide 16. I think Christina you're talking about your productivity of our mortgage advisors. Can you give us a sense of where -- I mean if I took the $16 billion divided it by your advisors, I suppose that have a productivity number. But can you give us the delta and where you think you are relative to these industry in terms of how productive your advisors are relative to any other mobile rep from many other Canadian bank?
Christina Kramer: I know that our mortgage advisors have been seeing growing improvements in productivity that was been year-after-year over the last several years. As it relates to our peer group, we don’t have any comparisons to share.
Darko Mihelic: And then I guess the last question, I just wanted to go back to the discussion you just have with Sohrab on the issuance of shares. I just wanted to understand a bit better, just for modeling purposes. I mean it's about 2 million shares a quarter when you have the drip and the employee plan put together. Maybe very succinctly, at what level of capital do you shut that off?
Victor Dodig: Very succinctly, Darko. Look, our goal is to be in the 10.5 range, if we were to go slightly higher than that, I’d be okay with that. Wouldn’t want to go lower than the 10.4, 10.3 kind of range. So we’re going to work within the band of 10.4 to 10.7. And once we have clear visibility on the regulatory environment on the macroeconomic environment, we will make decisions vis-à-vis the drip.
Darko Mihelic: Okay, that does help. Thank you.
Operator: Thank you. There are no further questions. So I would like to turn the call back to Mr. Dodig.
Victor Dodig: Thank you very much, Operator and thanks, everyone for being on the call. One hour and 15 minutes, I think that’s a record for us, at least the recent record. Before we wrap, I wanted to just do a couple of things. I wanted to announce that we’re going to hold our next Investor Day on the 13th of December in Toronto. We look forward to this opportunity to introduce you to our new leadership team. And what we’d like to do is provide you with a perspective on what we told you almost 2.5 years ago in terms of what we’re going to deliver, and give you a perspective going forward on what we intent to deliver for your as our shareholders. And for those of you who are able to join us, we’re gearing up for another successful CIBC run for the Cure on the 1st of October. It’s a cause our team across our country and our clients very much are passionate about, and we hope to see you there. And in closing, I’d like to thank CIBC’s team members for everything they do for our clients, our shareholders and our communities. And also like to thank you, our investors, for your continued support and confidence and good questions about our Bank. Have a great day.
Operator: Thank you. The conference has now ended. Please disconnect your line at this time. And thank you for your participation.